Operator: Greetings, and welcome to Rand Capital Corporation Fourth Quarter 2020 Financial Results. At this time, all participants are in listen-only mode. A question-and-answer session will follow the formal presentation. [Operator Instructions] As a reminder, this conference is being recorded. It is now my pleasure to introduce your host, Deborah Pawlowski, Rand Investor Relations. Thank you. You may begin.
Deborah Pawlowski: Thank you, Doug, and good afternoon, everyone. We certainly appreciate your time today and your interest in Rand Capital. As we discuss our fourth quarter and full year 2020 financial results, I will have Pete Grum, our Chief Executive Officer and Dan Penberthy, our Executive Vice President and Chief Financial Officer, provide you some formal remarks and then we will open it for Q&A. You should have a copy of the release that crossed the wires this morning as well as the slides that will accompany our conversation. If not, they are available on our website at www.randcapital.com. If you are following along on the slide deck and would turn to Slide 2, I would like to point out some important information. As you are likely aware, we may make some forward-looking statements during this presentation and during the question-and-answer session. These statements apply to future events that are subject to risks and uncertainties as well as other factors that could cause actual results to differ from where we are today. You can find a summary of these risks and uncertainties and other factors in the earnings release as well as in other documents filed by the company with Securities and Exchange Commission. These documents can be found on our website or at sec.gov. With that, please turn to Slide 3, and I will hand the discussion over to Pete to begin. Pete?
Pete Grum: Thank you, Deb. Thank you, and good morning or actually afternoon everyone and thanks for your time today. 2020 marked another important year in our transformation into an income-producing, dividend-paying BDC. Importantly, I believe we ended the year on a strong note. For the quarter, net investment income per share was up nearly 4x to $0.29 per share. For the full-year, net investment income was $1.8 million, or $0.77 per share. We began this transformation process in 2019 with the sale of shares to East Asset Management that raised $25 million in equity. Concurrent with the sale, we externalized our management to Rand Capital Management. 2020, there were several additional achievements that were part of that path of transformation to increase shareholder value. Let me just outline them. Because we are electing for IRS purposes to become a regulated investment company or RIC, as we refer to it, in May last year, we distributed all of our accumulated earnings and profits since inception with a special dividend. Total dividend was $23.7 million, or $1.62 per share and was paid out with a combination of cash and stock. Later that month, we executed a 1:9 reverse tax split, which was approved by our shareholders in December 2019. In May, our Board authorized a new $1.5 million share repurchase program, furthering our ability to provide return of capital to our shareholders. In September, we implemented a 10b5-1 trading plan. To assess our capital deployment in a manner that provides the best returns for our shareholders. This plan helped to enable us to repurchase 6,631 shares in 2020. To finish it at the year, we announced our 2020 dividend of $1.33 per share, which was payable to shareholders in January 2021, and we’ve announced our ongoing dividend plan. We accomplished this all during the year defined by the COVID-19 pandemic that affected almost every aspect of our daily lives. Please turn to Slide 4. This will discuss the progress we have made regarding the evolution of our investment portfolio to support our strategy. Major element of Rand’s transformation is our intent to grow net investment income. We are now focusing on more interest-yielding debt securities to provide a steady income. This is a significant departure from our history of investing to increase net asset value by investing in equity and high-performing companies. Consistent with our plan, we have exited several equity investments, increased our debt investment portfolio and purchased dividend-paying securities of other publicly traded BDCs. Given our liquidity, which Dan will discuss, we are also creating a robust pipeline for the potential new investments. You can see the evolution of our portfolio in just the last year, where equity investments now represent approximately 47% of the total value of our portfolio compared with 57% last year. From this calculation, we excluded the public company BDC shares. BDC shares provide both dividends that put our capital to work and liquid instruments that we can readily access for other opportunities as we find them. At year-end, a fair value of these investments was $3.3 million. If you turn to Page 5, it provides a snapshot of certain portfolio investments from the past year. Let me highlight a couple. In November, we made our largest initial public and initial funding for a company in recent history. The combined debt and equity investment in Caitec consisted of $3.5 million of subordinated secured 14% note, an additional $300,000 of Class A preferred stock purchase. Caitec, which is based on Halethorpe, Maryland, is a leading manufacturer and distributor of toys for dogs, various products for pet birds and other supplies for the pet industry. Company’s products are offered globally via a variety of sales channels, including national and local pet retailers, mass and regional retailers, grocery stores and e-commerce. During the fourth quarter, we increased our investment in Centivo through a $500,000 purchase of Series B preferred stock as part of a $34 million raise. Centivo, located in New York City, has recently launched a new health plan that will allow employers to adapt to self-insured model. This offering can reduce healthcare costs when compared to traditional health insurance. Please turn to Slide 6, and you will notice the increasing diversity of our portfolio. With the investments we recently made at certain exits, we now have consumer products in 10% and healthcare doubled to 12% and the inclusion of the BDC investment. The largest declines were in software, which now make up 29% of our portfolio and we have exited entertainment. We believe the increased diversity of our portfolio reduces our exposure to market risk. Slide 7 lists our top 5 portfolio companies at year-end. There are few changes since the last quarter. You will notice that Andretti is no longer on the slide as they paid off their note at the end of 2020 and exited the portfolio. Caitec and SMG rose to the top five. SMG joined the portfolio in July last year, but they did just pay us off last week on Friday. So, there will be changes to this list for the first quarter. While we are encouraged by the resilience of our portfolio, given the continued uncertainty regarding the duration of the pandemic and resulting economic downturn impact on our portfolio companies, we remain actively engaged with them and monitor their liquidity and operational status. There are some, however, that have benefited during this period and others that have used the resulting headwinds and challenges to improve their operations. You may likely have noticed the information on the press regarding the ACV. As most of you know, they filed their S-1 for a public offering of their equity a couple of weeks ago. The valuation in our portfolio of $6.5 million was based on their last equity raise as a private company. We will be watching to see, as I am sure most of you all will, where the offering land. Any proceeds for us above our $163,000 initial investment will be a capital gain and treated as such as it relates to any dividend or distribution. With that, let me turn it over to Dan Penberthy to review our financials in greater depth.
Dan Penberthy: Thanks, Pete, and good afternoon, everyone. Slides 9 and 10 provide an overview of our financial summary and operational highlights. Total investment income in 2020 was $3.1 million, a 14% increase over last year and does reflect the shift in our portfolio profile to more debt investments. This increased debt portfolio resulted in $941,000 or a 62% increase in portfolio interest income. The externalization of the administration and management of the Rand portfolio through the Rand Capital Management external manager did reduce our operating cost by $796,000 compared with 2019. As a result of the higher investment income, coupled with the reduced operating expenses, net assets from operations measurably improved $744,000, or $0.33 per share. If we turn to Slides 11 and 12, you will see a waterfall graph for the changes in NAV for the quarter as well as for the full 2020 period. The fourth quarter change reflects net realized loss on the sales and disposition of investments of $8.4 million. It is important to recognize that in excess of $8 million of this loss was simply recording a realized loss for portfolio investments that had been previously deemed worthless and had valuations carried at zero. This is why you will also see a large offsetting valuation adjustment to net unrealized depreciation. Effectively, we have moved unrealized depreciation to a realized loss position. The slide also illustrates a $3.4 million of the cash dividends that were declared during the quarter. That dividend equated to $1.33 per share. I should point out that the dividend was comprised of $0.39 per share from operating income and $0.94 per share from capital gains. For the full-year period, cash dividends totaled $8.2 million and we have recognized a $6 million net loss, again on the sales and disposition of investments, many of which were previously deemed worthless. So, this component, the large component of the net loss rather, was previously discussed the realized losses recognized on those zero value securities. If you turn to Slide 13, I will review the strength of our balance sheet. We do have approximately $23 million in liquidity for new investments, including our undrawn SBA commitment of $3 million, which is available for future investments into our portfolio. The $11 million currently owed to the SBA does mature over relatively long period. However, next year is our first installment when $3 million is due. Utilizing our 10b5-1 plan, we did repurchase 3,234 shares of stock at an average price of $11.98 during the fourth quarter. And as Pete previously highlighted, we did repurchase 6,631 shares for the full-year period and this was done at an average price of $11.57. With the support of our strong liquidity position, we believe we can continue to execute our transformational strategy as we grow our portfolio and further drive investment income. We distributed a large part of this year’s income to our shareholders in the form of cash dividends in 2020, and we do expect that trend to continue in 2021. In that regard, we have announced our first quarterly dividend of $0.10 per share that was just announced in February. Our annualized dividend rate of $0.40 is based off our conservative estimates of net investment income for the year and does not take into effect any net realized gains or losses, which we may have on the portfolio during the course of the year. Lastly, Slide 14 highlights a number of action items for 2021. Many of these are a continuation of the strategic initiatives that have already been underway as part of our transformation. Most important is our effort to put our liquidity to work, which will further drive returns and support an ongoing and growing dividend. This does complete our prepared remarks. Operator, please open the lines for questions for Mr. Grum. 
Operator: Than you. Ladies and gentlemen, at this time, we will be conducting a question-and-answer session. [Operator Instructions] We have a question from the line of [Lance Gad] [ph], private investor. You may proceed with your question.
Unidentified Analyst: Yes, thank you. It looks like ACV auctions you did – it’s carried at what the last raise was. So it’s up from $6.2 million. Is that correct?
Pete Grum: I think we put in there when we reflected a raise and I don’t believe it was their last raise.
Unidentified Analyst: So, it’s undervalued versus the last raise, correct? Because I believe the last raise was higher than the one before. I had understood our value was $6.2 million based on the last raise. So, I see the $6.5 million. I just assume that, that was up. And my question about it is do you have any indication where it might come in the S-1?
Pete Grum: No, we don’t. Your guess is as good as mine.
Unidentified Analyst: Okay. Okay, thank you.
Pete Grum: Thanks, Lance.
Operator: [Operator Instructions] There are no other questions in the queue. I’d like to hand the call back to Mr. Grum for closing remarks.
Pete Grum: I want to thank all of you for joining us this afternoon and for your interest in Rand Capital. We look forward to updating all of you on our first quarter 2021 results in May, and have a great day.
Operator: Ladies and gentlemen, this does conclude today’s teleconference. Thank you for your participation. You may disconnect your lines at this time and have a wonderful day.